Operator: Good day, ladies and gentlemen. Welcome to Vista Gold's Third Quarter 2017 Financial Results and Corporate Update Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Today is Thursday, November 2, 2017. It is now my pleasure to introduce Vista's President and CEO, and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest.
Fred Earnest: Thank you, Kim. Good afternoon, ladies and gentlemen. Thank you for taking time to join Vista Gold Corp.'s third quarter 2017 financial results and corporate update conference call. I'm pleased to be joined on this call by Jack Engele, our Senior Vice President and CFO; and also, Connie Martinez, our Director of Investor Relations, both here with me in our corporate office in Denver. This past quarter, we've been diligently making progress toward the completion of metallurgical testing and advancing an update of the preliminary feasibility study for our Mt. Todd gold project, which we expect to complete early in the first quarter of 2018. We expect improvements in the process area, improved gold recovery, lower major equipment cost, power savings and the current foreign exchange rate to allow us to demonstrate a compelling rate of return at today's gold price. This is a tremendous turn around for the project and marks a significant change in the way that the Mt. Todd project should be viewed and valued. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors, which may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-K for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. I'll now turn the time over to Jack Engele to discuss our financial results.
Jack Engele: Thank you, Fred. Good afternoon, everyone. I'll start with a summary of the Guadalupe de los Reyes transaction. Last week, we announced that we had completed an auction deal for our noncore Guadalupe de los Reyes project in Cimarron, Mexico. The deal includes auction payments to us totaling $6 million comprised of four $1.5 million payments. The first payment was made at closing last week, the remaining three payments are due in 12 months, 24 months, and 48 months, respectively. The deal also includes an NSR royalty or on open-pit production, capped at $2 million and a right to a non-carried 49% interest in any future underground mine. Alternatively, we can accept an uncapped NSR royalty on the underground production. The royalty rates will vary from 1% to 2% depending on gold price. Turning to our balance sheet and liquidity. Our balance sheet continues to be in good shape. As reported, our working capital totaled approximately $21.1 million at September 30, 2017. This includes cash and short-term investments of about $17.9 million. On a pro forma basis, after we're getting effect of $1.5 million we received through the first auction payment in the Guadalupe de los Reyes transaction, our working capital would increase to $22.6 million and our cash and short-term investments would increase to $19.4 million. Our short-term investments are comprised of U.S. T-Bills and notes. The company has no debt. Looking at our statement of income and loss for September 30, 2017. For the quarter, we reported a net loss of $2.7 million or $0.03 a share. The main cash components of the loss are $2.6 million of net operating expenses and an unrealized $0.1 million mark-to-market loss on our $7.8 million Midas shares. The main cash components of the $2.6 million net operating loss are $600,000 of fixed site management cost at our Mt. Todd gold project, about $700,000 at Mt. Todd discretionary programs, comprised mainly of metallurgical testing, updating our PFS and permitting. Our fixed corporate G&A costs were about $700,000. Compared to the same quarter last year, total Mt. Todd fixed cost in Australian dollar terms remained fairly constant. Similarly, corporate G&A costs were substantially unchanged from Q2 2016. Our costs continue to be well-controlled. Looking ahead, we believe that our existing working capital, coupled with future potential sources of non-diluted financing, will be sufficient to cover our fixed cost and discretionary project activities, including permitting and feasibility studies for several years. Potential future sources of non-diluted financing include the sale of our used mill equipment, future auction payments for the Guadalupe de los Reyes project, and depending on market conditions, the sale of some or all of our remaining common shares of Midas Gold Corp. That concludes my comments. Fred?
Fred Earnest: Thank you, Jack. Let me start with Mt. Todd. In July, we announced our intention to undertake an update of the Mt. Todd gold project preliminary feasibility study. We also announced the successful conclusion of bulk automated sorting tests. We are pleased that we have identified, accepted and proven technology that will help us eliminate 8% to 10% of the run-of-mine pressure feed that's depending on ore type prior to the grinding circuit. Analysis of these results suggest that on the basis of tons to be processed from the grinding leaching circuit, we can expect our grinding, leaching and tailings handling cost to drop by 8% to 10%, because these costs are driven by the volume of material to be processed. Metallurgical testing to establish the gold recovery at a finer grind size is progressing. Single-stage grind leach tests at 60 microns have been completed, and we are now finalizing two-stage grinding and leaching tests at the same grind size with our new designs for a two-stage grinding circuit these latter tests will provide a definitive estimate of gold recoveries for the updated preliminary feasibility study. We expect to be able to announce comprehensive metallurgical testing program results in the next two to three weeks. We continue to expect our total gold recovery at a 60-micron grind size to be in the range of 84% to 86%. This is compared to 81.7% that was used in the previous study when the grind size was 90 microns. Everyone on the call today will appreciate the significant improvement in cash flow that results from this magnitude of improvement in the gold recovery. I would like to talk for a few moments about other areas where we are observing improvements in the fundamental economics of the project, as we advance the preliminary feasibility study work. First of all, the metallurgical testing results are driving design changes in the process plant that in addition to producing a finer grind and better gold recovery, are expected to result in significant power savings. This is expected to reduce the amount of power that we need to generate, and therefore, the size of the power plant that we will be required to build. On the mining site, recent quotes for mining equipment indicate significant cost reductions have occurred over the last four years. Also, by implementing pit slope stability measures, we expect to achieve a modest reduction in our project's stripping ratio. Of course, no discussion of the updated preliminary feasibility study would be complete without a mention of the current foreign exchange rate. Our original preliminary feasibility study was completed at the time when the foreign exchange rate was parity or U.S. dollar being equal to the Australian dollar. Today, we have a foreign exchange rate closer to $0.77 U.S. per Australian dollar. In announcing the results of the updated preliminary feasibility study, we will report the project sensitivity to foreign exchange rates, but anticipate that our basis will be an exchange rate of $0.80 U.S. per Australian dollar. Finally, we plan to complete our economic analysis using a gold price of $12.50 per ounce. Our Mt. Todd project is the largest single-deposit undeveloped gold project in Australia, with 5.9 million ounces of proven and probable reserves, and Vista controls the third largest reserve package in Australia. It is ideally located in the Northern Territory of Australia and enjoys the benefits of existing critical infrastructure components, such as paved roads to the site, power lines, and natural gas pipeline, fresh water storage reservoir and a tailings impoundment facility. The permitting is well advanced with the EIS having been approved in September of 2014. We have earned the trust of the local stakeholders, and we believe that our social license is firmly in hand. We believe that all of these factors combined to position us favorably compared to our peers and the developer space and to provide our shareholders with exceptional leverage to the price of gold. With the completion of the transaction to auction the Guadalupe de los Reyes project, while preserving upside exposure to the high-grade, underground potential. We are in a stronger financial position to fund all of the activities made in to firmly establish the value of the Mt. Todd gold project and fund corporate activities for several years. I believe that having the financial strength to achieve these objectives is a distinguishing factor between Vista and many of its peers. As we complete the Mt. Todd metallurgical testing program and update the preliminary feasibility study, we expect to demonstrate that Vista is no longer just a call option on the price of gold, but rather the owner of a large-scale economically viable gold project in one of the most stable jurisdictions of the world. For greater clarity, we believe that we will be able to demonstrate that Mt. Todd could be one of the top 5 gold producing mines in Australia with all-in sustaining cost in the lowest quartile among Australian producers. We expect improvements in the process area, improved gold recovery, lower major equipment costs, power savings and the current foreign exchange rate to allow us to demonstrate a compelling rate of return at today's gold price. This is a tremendous turnaround for the project. And would temper our enthusiastic anticipation of the preliminary feasibility study results and indicate that we are carefully evaluating our strategic options with regards to the strategic - with regards to the future development of the project and we will be seeking those options, which afford us the greatest opportunity to create shareholder value. This concludes our prepared remarks. We'll now be happy to respond to any questions from participants on the call.
Operator:
Fred Earnest: All right. Thank you, Kim. Ladies and gentlemen, we appreciate your time this afternoon. We're delighted that you've taken time to join us for this call. I would like to conclude the call with the simple reminder that we expect to be able to announce comprehensive metallurgical testing program results in the next two to three weeks. As we approach the conclusion and winding up of the preliminary feasibility study at the end of this year, with the announcement of results early in the first quarter of next year. I would just reiterate our view that these results will demonstrate a tremendous turnaround in the project and it's my belief that this will mark a significant change in the way that the Mt. Todd project is viewed and should be valued. We're very excited about the work that's in progress right now. We invite you to keep a close eye on the news flow and we thank you for your time and your attention this afternoon. Thank you.
Operator: This concludes today's conference call. You may now disconnect.